Operator: Good morning, and welcome to Ollie's Bargain Outlet's conference call to discuss financial results for the second quarter of fiscal 2023. [Operator Instructions] Please be advised that this call is being recorded, and reproduction of this call, in whole or in part, is not permitted without express written authorization of Ollie's. Joining us on today's call from Ollie's management are John Swygert, President and Chief Executive Officer; Eric van der Valk, Executive Vice President and Chief Operating Officer; and Rob Helm, Senior Vice President and Chief Financial Officer. Certain comments made today may constitute forward-looking statements and are made pursuant to and within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. Those risks and uncertainties are described in our fiscal 2022 Form 10-K and fiscal 2023 periodic reports filed with the SEC and the earnings press release. Forward-looking statements made today are as of the date of this call, and we do not undertake any obligation to update these statements. On today's call, the company will be also referring to certain non-GAAP financial measures. Reconciliation of those most closely comparable GAAP financial measures to the non-GAAP financial measures are included in our earnings press release. With that, I will turn the call over to Mr. Swygert. Please go ahead, sir.
John Swygert: Thanks, Jonathan. Thank you, and good morning, everyone. We appreciate you joining our call today. We had a strong quarter and are pleased with the positive trends in our business. Our second quarter results were ahead of our expectations, driven by strong comparable store sales and margin expansion. In the quarter, comparable store sales increased 7.9%, and our adjusted EBITDA margin more than doubled to 12.4%. This marks our fifth consecutive quarter of positive comp store sales. Given our better-than-expected performance in the second quarter and continued momentum in our business, we are raising our full year sales and earnings guidance. Our sales strength in the second quarter was broad-based, with almost 70% of our categories comping positive. Our best performing categories included food, summer furniture, candy, lawn and garden and housewares. Not surprisingly, some of our softer categories were hardware, room air and furniture. While record temperatures in July were favorable for air conditioner sales, it was not enough to offset weaker sales from cooler temperatures during the first two months of the quarter. Our recipe for success has always been selling Good Stuff Cheap and delivering our customers extreme values every time they step foot into one of our stores. Today, shoppers are more savvy than ever, and they are looking for great deals on brand name merchandise. The consumer is more focused today on stretching their budgets and making most of their hard-earned dollars. Ollie's has been in the business of saving people money for more than 40 years. We sell brand-name products at drastically reduced prices, with savings between 20% to 70% compared to traditional retailers. Customers know they can find real brands and real bargains on products they need and use in their lives each and every day. Suppliers know we are a trusted partner for managing excess inventory and closeouts. Our continued growth in many years of closeout experience are leading to stronger buying relationships and better access to deals. We are seeing a growing availability of deals from both new and existing vendors. While the pandemic resulted in challenges in supply chains, increased shipping costs and created labor disruptions, the environment has become more normalized today. Manufacturers are, once again, creating new and innovative products, changing packaging sizes, and retailers are reducing inventory levels to account for changing consumer demand. This is made for a very strong closeout environment. Outside of the deals, we have made investments in our people, supply chain and realign some of our marketing efforts, all of which are driving better execution across the organization, providing our customers an even more exciting shopping experience. Eric will speak to these in a moment, all of which are driving our strong performance. And we feel very good about our ability to return to our long-term algo of double-digit sales growth, 40% gross margin and double-digit EBITDA growth Now let me pass the call over to Eric to discuss our store growth and operating initiatives.
Eric van der Valk: Thanks, John, and good morning, everyone. We opened six stores during the quarter, ending with 482 stores in 29 states. Quarter-to-date, we have opened an additional 10 stores, bringing us to a store count of 492. We are tracking to our 45 new store target this year despite the continued challenges in real estate and construction. We are also making progress in our remodel program, completing seven stores during the quarter, bringing us to 14 stores to-date, and we are on pace to achieve our plan of completing 30 to 40 remodels this year. Our customers deserve an updated shopping experience, which showcases our tremendous value, and we are committed to the remodel program going forward. John touched on the strength of our deal flow, and we are equally focused on driving productivity improvements throughout the organization. We are continuously making process improvements to help manage costs and improve our margins over the long term. Running a closeout business is unlike any other traditional retail business. This model is full of inconveniences and challenges, and we are built for it. Our extensive buying and closeout operating experience is a strategic differentiator for us. On the marketing front, we updated the format of our print ads earlier this year. We transitioned from our primary format of an 8-page flyer to a more streamlined version. We believe many customers were only focused on the front and back pages of the flyer. This new format allows us to showcase our very best deals and communicate a stronger call to action. Our narrower assortment in the flyer also simplifies execution. It makes us more nimble across many areas of our business, including buying supply chain and store operations. It is also a better customer experience as key ad product features are more prominent in our stores and, therefore, easier for customers and associates to locate. We also launched a new visual design of our ads a few weeks ago. The new creative is designed to make it easier and faster for customers to see and respond to our great deals, extreme values and unique shopping experience. We continue to broaden our reach through alternative forms of marketing, such as digital media, social influencers and even our first broadcast media tour, featuring Limor Suss, a well-known consumer correspondent who provided content that was carried on TV, radio and online. The video segment ran in over a dozen major markets and generated a significant number of impressions. Turning to supply chain. We recently completed the expansion of our Pennsylvania distribution center, which enable us to service an additional 50 to 75 stores. We are also in the process of building our fourth distribution center in Illinois, which is expected to open in fiscal 2024. This will provide us the capacity to service an additional 150 to 175 stores, supporting the next leg of our new store growth in the Midwest. These investments will enable us to service between 700 and 750 stores from our distribution network in support of our long-term target of 1,050 stores or more. The strong deal flow, along with improvements we are making in marketing, stores and supply chain, position us well for profitable growth as we continue to scale our business Before I turn it over to Rob, I would like to thank our entire Ollie's team. It takes each and every one of us to make this business a success. We have the most talented and hardest working people in this business, who are passionately committed to winning day in and day out. We appreciate all you do. Rob?
Rob Helm: Thanks, Eric, and good morning, everyone. We are pleased with our strong performance in the quarter and continued momentum in our business. Our results came in ahead of our expectations, driven by better-than-expected comps and solid margin expansion. Based on our strong performance and continued momentum, we are raising our sales and earnings guidance for the full year. For the quarter, net sales increased 13.7% to $515 million, driven by a 7.9% increase in comparable store sales and new store unit growth. Our comp store sales growth was driven primarily by transactions. Ollie's Army increased 4.1% to 13.5 million members, representing over 80% of our sales. During the quarter, we opened six new stores, ending with 482 stores in 29 states. We are pleased with the first half performance of our new stores. While early, as a group, these stores have performed above plan to date. Gross margin improved 650 basis points to 38.2%, in line with our expectations, driven primarily by favorable supply chain costs as well as higher merchandise margins. SG&A expenses as a percentage of net sales was flat to last year at 26.2%. As a reminder, we did not accrue for incentive compensation expense a year ago based on performance versus plan. Excluding incentive compensation expense, we levered SG&A by approximately 40 basis points. Operating income increased 218% to $53 million and operating margin increased 650 basis points to 10.2% in the quarter. Adjusted net income increased 205% to $42 million and adjusted earnings per share was $0.67 compared to $0.22 last year. Adjusted EBITDA increased 147% to $64 million and adjusted EBITDA margin increased 670 basis points to 12.4% for the quarter. Turning to the balance sheet. Our cash position remains strong, with $310 million between cash on hand and short-term investments and no outstanding borrowings under our revolving credit facility at quarter end. Inventories increased 1% to $498 million, primarily driven by new store growth, partially offset by the benefit of lower capitalized freight costs and normalization of lead times on our in-transit inventory. Adjusting for these items, our inventory increased 5%. Capital expenditures totaled $26 million in the quarter and were primarily for the development of new stores, the remodeling of existing stores, the completion of our Pennsylvania distribution center expansion and the construction of our new distribution center in Illinois. During the quarter, we bought back 277,000 shares of our common stock for a total of $17 million. At the end of the quarter, we had $109 million remaining on our current share repurchase authorization. We are committed to returning capital to our investors through share repurchases, while balancing our strategic growth opportunities and working capital needs. Turning to our outlook for the full year. Given our strong first half performance and continued positive trends in our business, we are raising both our sales and earnings outlook for fiscal 2023. For the full year, which includes a 53rd week, we now expect total net sales of $2.076 billion to $2.091 billion, comparable store sales growth of 4% to 4.5%. The opening of 45 new stores left one closure; gross margin in the range of 39.1% to 39.3%; operating income of $212 million to $219 million; adjusted net income of $165 million to $170 million and adjusted net income per diluted share of $2.65 to $2.74; an annual effective tax rate of 25.1%, which excludes the tax benefits related to stock-based compensation; diluted weighted average shares outstanding of approximately 62 million; and capital expenditures of approximately $125 million, including $75 million for the construction of our fourth distribution center and the expansion of our Pennsylvania distribution center. Lastly, let me provide some commentary on our expectations in terms of the quarterly flow for the balance of the year. Based on the underlying trends in our business, we are confident in raising our third quarter comparable store sales expectation from flat to a positive 2% to 3%. This includes one less advertising flyer in the quarter, which shifts out of the third quarter and into the fourth quarter. We estimate the ad shift could negatively impact our third quarter comp store sales by approximately one full percentage point. With the ever-changing nature of our product assortment, we are leaving our comp store sales expectation for Q4 unchanged for now, with comps expected slightly higher than our long-term algo of 1% to 2%. Looking at new store openings, we expect to open approximately 23 new stores in the third quarter, which will result in a significant step-up in preopening expense. We have opened 10 stores so far in the third quarter. Finally, our gross margin expectations for the back half are unchanged. Gross margin will follow a more normal seasonal pattern this year, which calls for slightly higher gross margin in the third quarter and slightly lower gross margin in the fourth quarter. We expect much more modest year-over-year gross margin expansion for Q3 and Q4 compared to the first half as we lap more normalized supply chain costs in the back half of last year Now let me turn the call back over to John.
John Swygert: Thanks, Rob. In closing, I would like to thank the entire Ollie's team for everything they do. We operate a very unique business that requires dedicated team members who work extremely hard to make Ollie's a special place for everyone. Our teams are doing an incredible job buying deals, assisting our customers and keeping our stores well stocked and merchandised. Everyone has a partner success, and we are grateful to our family of more than 11,000 team members. As we say, we are Ollie's. That concludes our prepared remarks, and we are now happy to take your questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Brad Thomas from KeyBanc. Your question, please.
BradThomas: Hi, good morning. And congratulations on the strong second quarter here.
John Swygert: Thanks Brad.
BradThomas: Thanks John. I wanted to just talk a little bit more about the closeout availability and the momentum you have as you go into the back half of the year. As we think back to 2022, of course, you all had some record buys that you were announcing as being some of the most exciting in the company's history. Can you just help us think about not only the momentum and what you're seeing out there right now versus how comparisons sort of factor into how you're thinking about the back half?
John Swygert: Sure, Brad. Obviously, we've been doing this a long time. We've been buying deals for over 40 years, and that's what we do. Deal flow is always pretty strong for Ollie's based on our relationships and what we've been able to develop over the years. We do have - we always say we have deals all the time, and sometimes deals are hard to annualize year-over-year and quarter by quarter. But the flow that we're seeing and have seen thus far this year has been extremely positive. Last year, we had the fancy store deal that came out in Q3 and into Q4. We obviously know - we have a pretty good idea where we're sitting right now for the third quarter in the deal flow we've seen, and we're pretty comfortable to go up against that deal that we had last year. And obviously, you know it's not standard for us to raise numbers above our long-term algo of one to two, and we're going out with a two to three with an ad shift, taking out about a full percentage point out of the quarter. we have the momentum in the business that makes us feel pretty comfortable where we're sitting today, and the deals are coming. And they're broad-based, Brad. We're seeing it everywhere. So we're in a good position.
BradThomas: That's really exciting. And if I can ask a follow-up on the margin outlook. Rob, I believe you reiterated the gross margin outlook for the back half. I guess just as we start to think about 2024, you've talked about getting back to that 40% gross margin. In broad strokes, John, Eric, Rob, maybe you could talk a little bit about how you're thinking about the margin outlook for next year?
Rob Helm: I'll take that one. It's Rob. So yes, we reiterated the guidance of 39.1% to 39.3%. When you think about the year, the first half certainly was burdened by a higher rate of supply chain cost in the second half will be. So when we get to Q4 of this year, we believe that we'll be very close to our long-term algo of 40. And believe that for next year and during the year, we'll be positioned to be on algo for '24.
BradThomas: Great. Thank you very much.
John Swygert: Thanks Brad.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Peter Keith from Piper Sandler. Your question, please.
Peter Keith: Hi, good morning, everyone. I'll give my congratulations on a great quarter as well. So John, you're talking about the business kind of returning to algo over time. I guess on the heels of this, this is such a spectacular comp quarter. It's hard to predict next year, but how do you think about returning to algo in '24 just kind of lapping this type of environment? Do you think that's possible or too hard to predict?
John Swygert: Yes. Peter, I feel pretty good about being able to return to our long-term algo in 2024. The - obviously, this is what we do. The deals are going to be there next year as well. And as long as we execute, we actually consistently, I think we'll be able to comp the comp. I think the long-term algo of one to two is appropriate from a comp store sales perspective. And then double-digit sales and EBITDA growth, I think are built into how we plan to grow the model. So I feel pretty comfortable where we're sitting today going to 2024 that we can execute.
Peter Keith: Okay. Great. And my follow-up then is just kind of - I'm trying to parse out the backdrop versus the execution improvement. I know it's probably really hard to do, but I guess focusing specifically on how you've condensed the flyers, I think that's an interesting change. Is there any way to quantify or think about, maybe just anecdotally, that driving any sales benefits that perhaps have some sustainability?
John Swygert: I think that's very, very, very hard to parse that out and be able to break down and quantify the difference of the items and what we're trying to do here. So I do believe that it is a positive. It does have a positive impact, but I don't -- I'm not able to break that out for you.
Eric van der Valk: Peter, it's Eric. I would answer the question. It's 100% execution. I'm just kidding. I'm joking. The flyer change, we did test the flyer change. We ran two pretty robust tests to the flyer change, and we saw really no difference between the formats. We think, ultimately, long term, this format is more compelling. When we show our customers our great deals, it drives excitement traffic or absolute best deals shown in this flyer are doing that. And certainly, our results to date have proven that. We've been at this now for two quarters, and we're very happy with the results.
Peter Keith: Okay. Sounds good, guys. Thanks so much and good luck.
John Swygert: Thank you.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Edward Kelly from Wells Fargo. Your question, please.
Edward Kelly: Hi, guys. Good morning. You could talk a little bit more about the deal pipeline. I saw in your most recent flyer, it looks like I had that big Coleman buyout. Just kind of curious as to how you're teed up sort of like into the back half of the year and visibility on the holiday? And then as part of this question, there, I think, has been concern from investors that in '24, you'll sort of lack this, right, like more normalized deal environment that is for you, right, like you talk about continued deal flow, but it's been very good. Any thoughts on like a stronger for longer buying cycle related to what we're seeing at retail and the opportunity there even into next year?
John Swygert: Yes. Ed, I think there's still a lot of opportunity that's left out there in the marketplace. I don't know when there's going to be a step change. But I can tell you, we've been -- and it's hard for people to get their hands on it. We've been doing this for a long, long time. And with our size and scale, and we're becoming very, very meaningful to the vendor community, I don't foresee us having a huge problem lapping the deals that we're dealing with. We work hard each and every day to continue to foster those relationships. So that's what we do. This is how we operate. This is the model we work in, and our merchants strive each and every day to beat their numbers year-over-year. So next year, do I expect to have an outsized comp? No. I expect to have a more normalized comp number that we'll be able to go up against. And we'll be able to deliver the numbers, and we'll continue to execute. And it's what we've done. We've done that for over 40 years. So we had two rough years here in the past with the COVID issues that were out there, but where we believe the model is very, very sustainable. The deals aren't going to just dry up tomorrow. In terms of visibility, you know we don't have a ton of visibility out there in terms of the next 90 to 120 days, but the momentum we're seeing right now is very strong. We feel pretty confident where we're sitting. We didn't change the Q4 guidance for that reason because we want to make sure we clear Q3. And then if we're running hot in Q4, we'll let you know. But there's very, very few people that are doing this in the world today at the scale we're doing it. So it's -- we're in the right position. And as Eric said, we're built for this. This is what we do, and this is what our merchant team and our supply chain team deal with each and every day, and it is inconvenience business. And a lot of traditional retailers don't want to be in this, and it's not for the faint of heart.
Edward Kelly: Okay. And just a quick follow-up on shrink. shrink has been problematic for most retailers. I don't think you mentioned it. Can you talk about what you're seeing there? [technical difficulty].
Rob Helm: This is Rob. We did not mention the call, there are a couple of things on shrink. First shrink for us is a relatively lower percentage than some other retailers. We're just a low shrink model, and I think that's important to say. The second piece is we count throughout the course of the year. So we got a good read on this growing shrink trend at the end of last year. And we were pretty sober when we thought about coming into the year in terms of our guidance as well as mobilizing our efforts. To date, shrink has leveled off for us a little bit. It's not any worse, but it's not significantly better. And we'll continue to work at it on a local and regional basis in those stores that are impacted.
Eric van der Valk: Yes, this is Eric. Just to add, it is a hyper local issue for us. The relatively small percentage of our stores, say, under 10% of our stores that contribute over half our shrink. So that makes it a little bit more manageable for us. We can direct a lot more attention and resource and have direct a lot more retention and resources into the 10% of the stores that are causing the problem, which helps us to get our arms around it.
Edward Kelly: Great. Thanks guys.
John Swygert: Thanks Ed.
Eric van der Valk: Thanks Ed.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Randy Konik from Jefferies. Your question, please.
Randy Konik: Yes. Thanks guys and good morning. Maybe, Eric, let's go back to a commentary around the real estate landscape. And maybe give us some perspective on how we should be thinking about unit growth next year? And maybe give a little bit of color on what you're seeing around construction costs, around just costs - are they starting to come down? Is be to build starting to pick up a little bit? Or are things getting easier out there? I just want to get a sense of where things are on that front? Thanks.
Eric van der Valk: Sure, Randy. Let me take the real estate question first. It is a tight real estate market. But we do like what we're seeing in terms of distressed retailers, store closings, bankruptcy filings. This should open up opportunities. We've been very active in pursuing real estate that's coming out of this opportunity with bankruptcies in particular, participating in bankruptcy processes and auctions. To-date, not many locations have materialized out of this, but we feel very good about the pipeline and where we're sitting. Typically, it takes a bit of time for locations to be vacant before Ollie's becomes the tenant of choice. But we have a very strong balance sheet and a very high-traffic model that's great for co-tenants in any center. So, we feel very good about where we're positioned. We're not giving guidance for 2024 at this time. We do think 50 is realistic, but we're not giving that as the official guidance until we guide the whole year. And then in terms of construction, it continues to be a challenging environment in construction. Elevated cost lead times are a challenge, whether it's HVAC, or local inspection-related issues, or bandwidth contractors. It's all still a challenge, but we're pushing hard. We control what we can control. We have a better handle on lead times now than we did a year ago. So, we feel confident that we can deliver the 45 stores, we've committed to in 2023.
Randy Konik: Got you. Okay. Super helpful. And then I guess, John, in the past, you talked about some labor costs being a pain point, particularly around the DCs with competitors, with other DCs kind of taking some of that labor away in some respects. Maybe can you give us maybe your perspective on where we are in the labor cost front? And then just maybe - also maybe, Rob, you could remind us, when DCs have opened up in the past, I think there's been a little bit of deleverage, because of them ramping up. I think you said that the DC in Illinois is going to open up next year. Just maybe give us maybe frame out - again, we don't need next year's guidance. Obviously, but it would just be helpful to understand different things to be thinking about around labor, and then the DC opening up next year as I think, the market pretty much feels like this year is locked in, and just thinking through how we should be thinking about high level for next year? Thanks guys.
Eric van der Valk: Sure, Randy, it's Eric. I'll take the first part of the question, and Rob can take the second. We have made meaningful investments in wages over the past couple of years. In our DCs, we actually recently made investments in all three DCs in wages. Our candidate flow is very strong. Our turnover in the first 90 days of employment remains high. So, we still do churn people. So yes, Rob, do you want to take the second part?
Rob Helm: Sure. From a distribution center perspective, when we opened distribution centers, historically, it was, I would say, 50 basis points or lower. However, as we scale, we're getting further along in terms of the scale of this business. I'd expect, call it, 10 to 20 basis points in the back half of next year, which we should be able to offset with self-help.
Eric van der Valk: Yes, it's probably important to add that the wage investments, we've made to-date are budgeted wage investments included in our guidance assumptions.
Randy Konik: Yes that's super helpful, that's what we need. Thanks guys.
Eric van der Valk: Thanks Randy.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Jason Haas from Bank of America. Your question, please.
Jason Haas: Hi. Good morning. And thanks for taking my questions. Can you talk about what the drivers are that get you from the - a little bit over 39% gross margin this year to - it sounds like you expect it could be at 40% next year and beyond. So can you just talk about what those drivers are to get there?
Rob Helm: It's really a supply chain story. So for this year, the supply chain on a full year basis is closer to 10% of sales, with it being front half loaded and above 10% for the front half, and Q4 being below 10%. As the call back to our algo, we historically did a 7% to 8% supply chain cost. We don't anticipate that we'll be able to get back there. We have made the wage investments that we just discussed during the last question that will have an impact. Domestic fuel is still not back to a pre-pandemic level. So that's a tiny bit of a headwind. But if we get back to the 8.5% to 9% range, that gets us all over the 40% gross margin.
Jason Haas: Got it. That's great. And then, Rob, another follow-up for you on margins. I think given the strong comp that you reported, I think people maybe thought we'd see a little bit better flow-through on SG&A. It sounds like the big offset was incentive comp. Do I have that right? Is there any other areas that you've been investing in that maybe offset some of the flow-through you would have seen on that strong comp?
Rob Helm: No, that's right. Incentive comp was roughly 40 basis points of pressure. In this model, we would estimate to lever by about 10 basis points for every point of comp over 3%. So, we feel pretty good about it.
Jason Haas: Got it. That's great. That makes sense. Thank you.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Eric Cohen from Gordon Haskett. Your question, please.
Eric Cohen: Hi. Good morning. Thanks. I just want to follow-up on that last answer. You said that you can get 10 basis points of leverage for - every 100 basis points above a 3% comp. At least historically, it's been 1% to 2% comp. So just curious what has changed to the 3% now?
Rob Helm: I would say that the leverage point - you're correct, is closer to, say, two. It was 1.5, but wage investments have increased within SG&A. It's closer to two.
Eric Cohen: Okay. So, I think in the last what you say - it would be 3%. Is that just for this year? That's not the new all going forward, then I assume?
Rob Helm: No.
Eric Cohen: Okay. And then just also wanted to ask on - you didn't comment earlier in the prepared remarks that new stores are producing above plan. But it looks like new store productivity came down this quarter. And just looking at the revised guidance, at the midpoint, sales you raised by 1%, but the comp you raised by 200 basis points. So curious sort of how to reconcile that?
John Swygert: New store productivity was lower than the first quarter as planned. The timing of new store openings impacts that the way that the math is calculated by the analyst community. As a group, we are very happy with our 2023 openings. They're performing well above plan.
Operator: Does that answer your question?
Eric Cohen: Yes. Thank you.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Jeremy Hamblin from Craig Hallum. Your question, please.
Jeremy Hamblin: Thanks and congrats on the strong results. I wanted to ask about the remodel program. And you talked about 30 to 40 remodels this year. You still have a very strong balance sheet here over $300 million despite some of the buybacks that you've done. Just wanted to understand, in terms of capital allocation, you noted that you're not quite ready to guide to 50 new stores for next year yet, but pipeline is filling up. I wanted to get a sense of the remodel program. Is that something that you think could potentially accelerate? Are you still gaining those nice mid-single-digit sales lift? And is there any change in terms of what the cost of those remodels looks like, which I think previously you talked about $125,000 to $200,000?
Eric van der Valk: Sure. Jeremy, it's Eric. I'll answer. We're very happy with our remodel program to-date, the cost has not changed. It's still in that range of $125,000 to $200,000. We're not guiding '24 like we weren't guiding on new stores either, but it's realistic to expect a similar range in terms of what stores will - how many stores we'll remodel in '24 as we do in '23. So it's in that 30 to 40 range. The customer response has been very, very positive, and we have similar expectations going forward in terms of return on the investment.
Jeremy Hamblin: Great. And then last one for me here. So if you have the Illinois DC rolling out next year, in terms of plans then for after that, what are you looking at in terms of timing for what the next DC might look like? And geographically, how are you thinking about that?
John Swygert: Sure. We're looking probably several years out for the next DC, three-plus years. We're going to sweat the assets that we have in place with the four DCs to kind of close to the limit. The location of the DC will be in the West somewhere. So we haven't determined where, although we've done some modeling around it. So we're preparing for it. We haven't determined exactly where on the map it will be, but somewhere in the West. And Jeremy, one takeaway that we don't normally talk about too much is the DC - two of our DCs that we do have, we'll have Illinois and Texas. They're both expandable as well. So, we can add capacity to them just like we did in New York, D.C. So that's another avenue we have, like Eric said, just sweat that asset so. Operator, we are getting a lot of feedback here. [technical difficulty]
Jeremy Hamblin: Can you speak again?
John Swygert: Hello, can you hear us?
Jeremy Hamblin: Yes. Yes, I mean the over the line. I think it was coming from participant there - question?
Eric van der Valk: Okay. Great. Yes, I was just going to add one small little point, whether it's a five DC store network - is still something we debate at our full maturity of 1,050 stores.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Matthew Boss from JPMorgan. Your question, please.
Matthew Boss: Thanks and congrats on a great quarter?
John Swygert: Thanks Matt.
Eric van der Valk: Thanks.
Matthew Boss: So John, larger picture, could you elaborate on customer behavior that you're seeing across the box? I think it's really two things that we've talked about in the past. Maybe could you speak to trade down activity that you're seeing? And then the second piece is the trade-out headwind that I know you spoke to a year ago, where that stands today? And then just any comments on August trends or continued momentum in the business?
John Swygert: Yes, Matt, I'll let Eric take the first question, and then Rob can pipe in on the second one.
Eric van der Valk: Sure. Thanks. We are continuing to see a trade down of the higher income customer, defined at $75,000 or greater. So, we are continuing to see that momentum. It's similar versus the prior two quarters. Our new customer acquisition is - continues to be very strong, actually, especially in the $100,000-plus income cohort. So, we're seems to indicate that those customers in that income cohort are really looking for value. They need value. And then in terms of the trade out, the lower income consumer that we would we would say it's under $40,000 in household income. We did see that cohort index down slightly in Q2 versus other quarters. Keep in mind, Matt, that we underpenetrate in low-income consumers. That's not a concern and it was ever so slight. Our largest new customer growth is coming from the $100,000 to $150,000 cohort specifically.
JohnSwygert: And from a current business perspective, we're pleased with our positive momentum. We feel like there's great deal flow right now and there's great content in our store, and our customers are responding accordingly. We're comfortable with the guidance that we gave.
Matthew Boss: Great. And then just a follow-up on new stores. Could you elaborate on the performance that you're seeing from the most recent openings? And then John, maybe for you, as the fleet continues to scale, how -- maybe if you could walk through, how are your relationships with larger manufacturers changing and maybe brand awareness with customers evolving?
John Swygert: Yes, Matt, with regards to the vendor community and the manufacturing community, as we continue to scale and we have more notoriety in the business, it continues to get stronger and stronger and more opportunities continue to open up for us. And the one thing we do and we focus on each and every day, our merchants are trained to build relationships. And really it's a relationship business. This is not a one transaction business from our perspective. We want the first deal, but we want all the other deals that come along with it. So building that relationship is key. And the brand manufactured - the brands are - most of the brands that work with us continue to come back, and they feel very comfortable with how we respect their brand. And we do what we say we're going to do, and they are very comfortable that they'll never find goods they've sold to Ollie's on the market outside of Ollie's. So we really don't - we do our best not to give them any channel conflicts with other retailers out there.
Matthew Boss: Great. Best of luck, guys.
JohnSwygert: Thanks Mat.
Eric van der Valk: Thanks Mat.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Scot Ciccarelli from Truist. Your question, please.
Scot Ciccarelli: Good morning, guys. I think on the call, John, you said 70% of your categories were positive. I think I recall from ancient history, at one point, you're talking about how it's even 50% of your category is comp positive. That would be a good performance. So is the 7% figure an outlier on the upside? And if so, how often do you see such broad-based sales strength?
John Swygert: Yes, 70% of our departments comping positive, Scot, is definitely a positive, especially in the environment we're living in today, discretionary income, inflation and the consumer being a little more strapped than normal. That's - I'd say that's an outsized performance and an outsized response to the deals that were given to the customer or execution at store level. 50% is what we normally see in terms of the departments comping positive. It's just the number, though. I mean it doesn't really tell you everything, but it is an indicator that we're hitting on all cylinders. And obviously, with the 7.9% positive comp for the quarter, it gives you some indication.
Scot Ciccarelli: Okay. That makes sense. And then the incentive comp in 2Q, was there some sort of true-up? Or will we have additional kind of pressure on SG&A from so comp in 2H?
Eric van der Valk: Last year, as we underperformed versus plan, we did not record incentive compensation starting in the second quarter. The accruals in the third quarter were also light relative to historical incentive compensation expense level. So the expense pressure will step up in the second half. We called 40 basis points in the second quarter. It's probably closer to 50 basis points of pressure for the second half, with Q4 being a little more pressure than Q3.
John Swygert: And I think, Scot, the one takeaway - that's all baked into our numbers that we guided for the full year. So that's not an incremental to what we've already guided to.
Scot Ciccarelli: Correct. Got it. Okay. Thanks guys.
John Swygert: Thank you.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Mark Carden from UBS. Your question, please.
Mark Carden: Good morning. Thanks so much for taking the questions. So to start another question on shopping trends. Are you seeing many repeat trips from that $100,000 to $150,000 income cohort you talked about? Are they signing up for Ollie's Army at rates that are comparable to what you see across your customer base? Basically, do you see our core demographic expanding much? Thanks.
Eric van der Valk: We do, to answer all your questions. Yes. Repeat visits is a little bit hard to track. It's maybe a little early in this trend with the trade-down customer to be able to answer that with certainty. But they're signing up for Ollie's Army, and we'd expect there to be some stickiness there.
Mark Carden: Okay. Great. And then just as a follow-up. Throughout the quarter, did you see much of a shift in terms of sales cadence as it progressed, just given some of your intensifying compares?
Rob Helm: Sure. This is Rob. From a quarterly flow perspective, May was pretty much the sales velocity we saw coming out of the first quarter. June ticked up a bit. July was the strongest month of the quarter as the really warm temperatures supported our AD sales in that multiple.
Mark Carden: All right. Great. Thanks so much. Good luck, guys.
Eric van der Valk: Thanks Mark.
John Swygert: Thanks Mark
Operator: Thank you. One moment for our next question. And our next question comes from the line of Kate McShane from Goldman Sachs. Your question, please.
Kate McShane: Hi. Good morning. Just a quick question from us back to the sales growth during the quarter. Just we know primarily, it was driven by transactions, as you mentioned, but can you talk to ticket during the quarter and how you see that playing out for the back half of the year?
Rob Helm: Hi Kate, this is Rob. Transactions primarily drove it. It was probably about 85% of the comp. The remainder of the comp was basket, which was up low singles.
Kate McShane: Thank you.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Simeon Gutman from Morgan Stanley. Your question, please.
Simeon Gutman: Hi, good morning, guys. First, a quick follow-up on shrink. Can you tell us what the timing of your physical inventories? How quickly or how often or frequently are you doing them? And I think to summarize what you said, it got a little bit better than what you were run rating prior to this quarter?
Rob Helm: Sure. This is Rob. We count our store fleet throughout the course of the year. So we're about halfway through the year. We've counted about half of the stores. From a shrink perspective, we are slightly better, not significant enough to call out as an impact within our gross margin for the second quarter.
Simeon Gutman: Okay. And a quick follow-up, back on the sales strength. Given that traffic is strong, it seems like the consumer is moving towards value, and I think we've seen that. Curious how you kind of weight the strong performance between the merchandising and the success of the closeout merchandise against that customer seeking maybe the channel and value a little bit more?
Rob Helm: Yes. I think, Simeon, that's hard to bifurcate what that is. But I would tell you, the deals drive the customers to respond and the value we offer to the customer. So right now, they're looking for the deals - we have some great deals and great brands in our stores and they're responding to what we're giving. As you can tell with our top five categories, it's not all consumable. There's some - a lot of discretionary there with summer furniture, lawn and garden coming through. So they're responding to what we're able to show them what the great values were given to them. So that's number one key regardless of what's going on in the marketplace.
Simeon Gutman: Yes, okay. Nice quarter. Good luck.
Rob Helm: Thank you.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Paul Lejuez from Citi. Your question, please.
Paul Lejuez: Hi, thanks guys. Curious if you could talk a little bit more about the better gross margin rate in the second quarter? How much was from lower supply chain costs versus merchandise margin improvement? And within that merchandise margin improvement, how much was driven by better buying or initial markup versus just having lower promotions? And then second, on the store opening plans for F '24, how many stores do you already have locked and loaded for next year? Thanks.
Rob Helm: Thanks, Paul, this is Rob. From a gross margin perspective, out of the 650 basis points of expansion, supply chain was roughly 550 basis points. Merchandise margin was about 100 basis points, net of the impact of shrink. The lion's share of that improvement was improved deal flow and better IMU on our buys versus the reduced promotions.
Paul Lejuez: [indiscernible] stores?
Rob Helm: Yes. We wouldn't answer that question. It's maybe a little too detailed. We're not speaking to 2024 guidance. So I indicated that 50 stores is realistic for 2024. And so that's -- 
John Swygert: We'll give you more on the future calls with regards to - obviously, we do - we take second-generation sites, so we're not building. So our lead time is a lot less. But we don't want to give any 2024 guide right now. I think the reality is around 50 stores for next year.
Paul Lejuez: Got it. Thanks. Good luck.
Rob Helm: Thank you.
Operator: Thank you. This does conclude the question-and-answer session of today's program. I'd like to hand the program back to John Swygert for any further remarks.
John Swygert: I would like to thank everyone for their time and interest in Ollie's. We feel very good about our positioning in the back half of the year and look forward to updating you on our continued progress on our next earnings call. Thank you.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.